Operator: Hello, and welcome to the TravelCenters of America Third Quarter 2018 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Katie Strohacker, Senior Director of Investor Relations. Please go ahead.
Katie Strohacker: Thank you, Sean. Good morning, everyone. We will begin today's call with remarks from TA's Chief Executive Officer, Andy Rebholz, followed by Chief Operating Officer, Barry Richards; and Chief Financial Officer, Bill Myers. We'll also have time for questions from analysts'. Today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and Federal Securities laws. These forward-looking statements are based on TA's present beliefs and expectations as of today, November 5, 2018. Forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no obligation to revise or publicly release any revision to the forward-looking statements made today, other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission that are available free of charge at the SEC's Web site, www.sec.gov or by referring to the Investor Relations section of TA's Web site at www.ta-petro.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. I'd like to remind you that the recording and retransmission of today's conference call is prohibited without the prior written consent of TA. And finally during this call, we will be discussing non-GAAP financial measures, including adjusted income from continuing operations, adjusted income per common share from continuing operations attributable to common shareholders, EBITDA and adjusted EBITDA. Reconciliations of these non-GAAP measures to the most comparable GAAP amounts are available in our press release. Our press release also includes pro forma financial information for the three previous fiscal quarters that adjusts our previously reported operating results to present the convenience stores business as held for sale. And with that, I'll turn the call over to you, Andy.
Andy Rebholz: Thank you, Katie, and good morning everybody. I'm excited to be on this call with you today, and thank you for joining us to discuss our third quarter financial results that were published in our press release this morning. It was a particularly active quarter for the company highlighted by the agreement we entered in early September to sell our standalone convenience stores business, a transaction that will allow us to exit that market and devote more time to managing operations thoughtfully pursuing growth opportunities, and addressing leverage, all of which should lead to increases in net income and EBITDA over time. The process in regard to the sale has progressed well, and we expect this transaction will be finalized by the end of the year. I further expect that specific plans for the proceeds will be determined within a reasonable timeframe following the close. We will announce the closing when it occurs, but in the meantime, as Katie mentioned, have included as supplemental information in our press release this morning, pro forma financial information that presents restated operating results for the fourth quarter 2017 through the second quarter of 2018 with the discontinued operations segregated. It is too early to say precisely how we will improve TA's leverage ratio, but our analysis includes looking at reducing future rent and/or interest payment obligations. The timing related to any update will depend on the action taken. As I mentioned in early September when we announced the sale of the C store business, our likely first step would be to try to find an acceptable deal with HPT. Since then we have approached HPT regarding talks towards a potential agreement. At this time, there is no way to say whether we will reach an agreement with HPT or what the specifics of such a potential agreement may be. If we fail in talks with HPT, we will turn our attention to our senior notes. Now to our operating results; for the third quarter, we reported a net loss of $70.5 million or $1.77 per share and EBITDA of $31.4 million. This compares to net income of $62.3 million or $1.58 per share and EBITDA of $34.8 million for the third quarter of last year. Included in the net loss this quarter was $72.1 million loss from discontinued operations net of taxes that is almost entirely attributable to the accrued loss on the sale of our standalone convenience stores business that we recognized to account for that portfolio as held for sale in conjunction with our agreement to sell that business. The non-GAAP financial measures provided in this morning's press release should help you compare performance between the 2018 and 2017 periods without the effects of certain notable items. For the third quarter this year, these measures included adjusted income from continuing operations of $1.6 million or $0.04 per share and adjusted EBITDA of $31.4 million compared to an adjusted income from continuing operations of $2.1 million or $0.05 per share and adjusted EBITDA of $30.6 million for the 2017 third quarter. There were no unusual items excluded from the 2018 non-GAAP measures. Notable items that were excluded in calculating the 2017 measures, include a $4.6 million net transaction fee expense reduction and a $312,000 legal expenses both of which related to our then pending dispute with Comdata. The reported third quarter adjusted EBITDA amounts do not include the $5.4 million adjusted EBITDA contribution from discontinued operations in the third quarter of 2018 and the $9.4 million adjusted EBITDA contribution from discontinued operations during the 2017 third quarter. Despite some positive distractions that took place during the quarter, the change in adjusted EBITDA amounts for the third quarter continued to improve compared to the change in adjusted EBITDA results reported in the third quarter last year and we were pleased to see positive signs that our business plans continue to gain traction. First our same site results, which now include 227 travel centers and 14 standalone restaurants showed a change in fuel volume of negative 0.2% this quarter, and an improvement from year-to-date trends of negative 0.6% and despite the continued fuel efficiency and competitive headwinds that are occurring. We experienced a strong freight environment that is leading to increased demand for fuel and helping to offset efficiencies resulting from older trucks being replaced by newer ones, the ELD mandate and overall efforts by fleet companies to be more efficient as they navigate rising fuel costs. Second, this quarter's same site fuel margin per gallon result of $15.08 was a $1.03 or 9% improvement from the $14.05 per gallon for last year's third quarter. While diesel fuel prices are higher this year than last, we experienced a better fuel buying environment this year than last as Barry will discuss in a moment. Third, same site non-fuel revenue increased 3%, while same site non-fuel margin increased 2.9%. Our efforts to expand TA's truck service programs and in certain other marketing programs were productive. We saw increases compared to the prior year of 10.3% in total tire unit sales, of 75% in OnSITE mobile maintenance work orders, of 4.6% in RoadSquad work orders, and a 69.7% in Reserve-It parking reservations revenues. These programs contributed to a strong non-fuel gross margin percentage of 60.1% this quarter. We continue to see savings from the site accounting functions centralization project. For the third quarter, this initiative generated savings in site level operating expenses of $1.4 million and cost us about $0.5 million of SG&A expense as we build out the corporate accounting function to take over these site activities. By September 30, we had completed the staffing reduction at 118 sites, but at varying points during the year. We continue to expect this initiative to generate net annual cost savings of approximately $6.5 million when fully implemented. The net result from the highlights and headwinds that are affecting our results continue to lead me to believe that we remain on track to post increases in adjusted income from continuing operations and adjusted EBITDA in 2018 compared to 2017. Looking ahead, we are working diligently to realize the full potential of our revenue growth and cost savings programs. We will continue to ramp TA's Commercial Tire Network, OnSite mobile maintenance, RoadSquad roadside assistance and call center programs. In addition, our business development efforts related to our site growth are well underway. In September, we opened our first four smaller format TA Express locations. We've compiled the necessary franchising documents and marketing materials and have been meeting with third party owners considering a franchise or a sale of their business. Currently our franchising pipeline is larger than our acquisition pipeline, but both are active and I am hopeful that by the time we report fourth quarter results we will have some firm developments to discuss in this area. We believe that the smaller format TA Express brand can be a great avenue to grow site count better serve our trucking customers and grow TA's EBITDA and free cash flow with a much smaller investment than is required for our typical large-format company-operated travel centers. And now, Barry will provide some color regarding our operations.
Barry Richards: Thanks Andy, and good morning, everyone. We continue to see positive signs from our travel center operations this quarter with strong freight trends, which lead overall travel volumes to increase modestly. Year-to-date, we sold 3.3 million more diesel gallons than we did during the same nine month period last year and 2.6 million gallons were 78% of the increase occurred in the seasonally strong third quarter. Fuel efficiency and increased competition continue to be headwinds and this impact that same site fuel sales volumes, which were down approximately two tenths of a percent. This nearly flat same site growth trend should signal that TA was able to make up for some of the headwinds by selling more fuel made a stronger market. Consolidated fuel gross margins increased by $7.5 million or by 10.7% as a result of increased sales volume and an increase in gross margin per gallon. The approximate $1.05 gross margin per gallon improvement was due primarily due to more favorable purchasing environment. Among the items contributing to this purchasing environment, with where the greater volatility that took place this quarter as compared to last year enabling our purchasing team to take advantage of the market moves to buy better and the continued expansion of our biodiesel program. We market biodiesel at approximately 140 of our locations and in 58 of our travel centers have installed blending equipment that allows us to generate higher gross margins. The benefit to margin this quarter that we're seeing from biodiesel, doesn't take into account, the potential future tax credits that are accumulating if approved retroactively for 2018 as they were in February for 2017 and is being discussed in Congress relative to 2018. One of the areas I'm focused on in is gaining additional insight related to our operational benchmarks and standards that can reveal opportunities for improved service quality and performance at existing locations. This past spring we hired an independent company to form a comprehensive shopping service of our travel centers located throughout the country. We're continuously reviewing the results of site visits that occur multiple times and cover multiple categories across all departments. TA has always had high standards given the number of national brands we represent and those brands provide us with regular reports of the mystery shops they perform that let us know how well we execute. For example our gasoline brand mystery shop reports this quarter signal TA is performing extremely well. Our lowest score by gasoline brand was 95.8 out of a possible 100. We receive a great deal of detail supporting these results including photos with which we can work to improve our operations. Our scores are well above national network averages for all the gasoline restaurant brands we represent. Still we believe there is value in employing independent anonymous reviewers to assist our district managers and store managers with this process. Our internal mystery shop support the findings of the brands at shopper sites and provide us with areas for improvement that they don't dig into. Benchmarking an overall operational quality is something I'll be talking about more in the future. Hiring in retention or other areas on which we're focused. We regularly conduct surveys to determine what employees are looking for in order to increase our loyalty and longevity. Increasing wages is one thing we're doing but we know that alone is only part of the solution for furthering employee satisfaction excuse me, enhancing company culture and contributing to an employee's decision to show up to work and work hard. Competitive benefits, educational assistance and career development are areas that can improve retention today. We've been actively marketing our education assistant programs for employees who need assistance, while they're completing school, as well as our manager and training program to encourage hourly employees to consider TA is a place they can pursue and receive support for their career paths. Regarding our efforts to market a broader array of our products and services to our traditional and non-traditional customers this quarter, we continue to gain traction with our mobile maintenance and emergency repair services. Looking at our OnSITE truck service program, as Andy just mentioned, our work orders grew by 75% versus the third quarter of 2017, and acceleration from the strong growth experienced last quarter. Those trucks that are in the field are servicing over 315 customers. This quarter we saw additional examples of existing customer relationships that have expanded to include a greater commitment of services at more locations. An example of this incurred with the well occurred, with a well-known retailer we've begun directly supporting starting in September. Historically, we've helped them indirectly by providing inspection services and road readiness checks to the fleets that support them. We will continue to perform these services, but as of September we again supporting another area the logistics operation that relates to the retailers, a growing fleet of own trailers, service that is growing in demand with larger fleet stake. We are experiencing similar positive trends with OnSITE and certain non-traditional customers. One such customer business owner that owns and leases thousands of commercial utility trucks has been a ramping customer of ours for several quarters. They recently engaged TA truck service to provide full service maintenance and component for trucks being leased to a regional power supplier. This will be an easy extension of the services we're providing already in that area. Our RoadSquad call center business work orders increased by 4.6%. We have over 530 trucks at company sites today. We sold 10.3% more tire units this year than last in the third quarter and as we expand our OnSite business, we expect to see further increases in tire unit sales. In addition, TA's Goodyear branded Retread Center, which opened in July [ph] reported positive EBITDA has been less than three months in operation. This quarter, we began supporting one of our top 10 largest fleet customers with the [ph] casing management program for Retread. We think this was a key win for us, because we convinced a larger fleet to work with us instead of the multiple individual dealers with whom they were doing business. We believe other fleets will take note and follow and we are in discussions with others for similar programs. Now, looking at our TA Restaurant Group, our efforts to rationalize our full-service food offering continue. In the third quarter, we had three casual dining restaurants that were closed due to rebrandings or conversions to QSRs. These closings continue to weight on full-service restaurant revenues and gross margin, which were down 4.3% and 3.1% respectively year-over-year in the third quarter. In addition to the rebrandings, we're focused on making our operations more efficient. We've closed certain restaurants during unproductive hours and the new restaurant management software installed as part of a multi-year project is allowing our managers to better forecast and schedule staff accordingly. Collectively, the shift closures and in the software saved approximately $574,000 of labor expense compared to the same period last year. The actions were taken to help redo site level operating expenses for a -- full service restaurants by 3% for the quarter. Site level gross margin in excess of operating expenses for our restaurant business in total was up approximately 1.5% versus the prior year. And now, I'll turn the call over to Bill for his remarks.
Bill Myers: Thank you, Barry, and good morning everyone. Before I discuss our results, I first wanted to remind you that in the second quarter of 2018, we adopted a new revenue recognition standard which, among other things, required us to reclassify the discounts related to certain loyalty program awards from non-fuel revenue to fuel revenue. In our financial statements for the third quarter of 2017, we've reclassified $19.8 million of discounts from non-fuel revenue to fuel revenue, which decreased our fuel gross margin by $3.06 per gallon, but increased our non-fuel gross margin by a 160 basis points. We've included in this morning's press release, a supplement that identifies the impact this new accounting standard has on our fuel and non-fuel revenues as well as our fuel gross margin cents per gallon and non-fuel gross margin percentage for the years ended 2017 and 2016, as well as by quarter for those years. As a reminder adopting this new standard affected both fuel and non-fuel gross margin by the same amounts, but had nearly no effect on our total gross margin. From a consolidated perspective, we had a net loss of $70.5 million or $1.77 per share compared to a net income of $62.3 million or $1.58 per share in the prior year. The loss from discontinued operations net of taxes was $72.1 million primarily as a result of the $78.7 million loss on disposal of standalone convener store business and the related $17.9 million goodwill impairment charge recognized in the 2018 third quarter. Adjusted EBITDA increased $749,000 in the 2018 third quarter. Site level operating expenses increased by $17 million or 7.9% in the 2018 third quarter as compared to the 2017 third quarter due to a $15.5 million same site increase and a $1.5 million increase from new sites since the beginning of the 2017 third quarter. The increase on a same site basis was primarily due to increased cost to support the increased non-fuel sales in particular this quarter our truck service sales and a net $4.6 million dollar reversal of transaction fees previously withheld by Comdata recognized in the 2017 third quarter. A trend that reversed this quarter was improvement in our site level operating expense ratio as a percentage of non-fuel revenue which declined 80 basis points compared to last year after adding back the $4.6 million dollars of excess transaction fee recovery recognized in the 2017 third quarter. This was due to the increased cost to support the increased non-fuel sales. I'm referring primarily to truck service. This department saw the highest gross profit growth when compared to our combined food service department and our store and retail services department during the quarter. But truck service also experienced the highest increase in operating expenses. Our recently acquired tire retread facility is a good example of this trend, it reported positive EBITDA in September, its third month in operation under TA's ownership, but had to ramp up certain fixed and variable costs ahead of revenues in July and August to get there. Additionally, we experienced an increase in TA's credit card transaction fee expense as a result of the significantly higher fuel prices. Fuel sales volume increased by 1.7 million gallons and sent same site fuel volumes decreased by 789,000 gallons or 0.2%, primarily due to the continued effects of fuel efficiency gains and increased competition, partially offset by TA's fuel pricing and marketing strategies. Fuel gross margin for the third quarter of 2018 increased by $7.5 million primarily driven by a better diesel fuel purchasing environment and the sales volume increase I just mentioned. As Andy mentioned non-fuel revenues grew 3.7% in the 2018 third quarter as compared to the 2017 third quarter, primarily due to a 3% increase in the same site - on the same site basis that primarily resulted from 4.4% growth in truck service revenues, but also reflecting a 3.9% growth for the store and retail services department, which includes Reserve-It parking. Non-fuel gross margin percentage in the 2018 third quarter was 60% compared to 60.2% in the 2017 third quarter. The 20 basis point decline in non-fuel gross margin percentage is attributable to the margin profiles of the faster growing products and services sold during the quarter, namely those products and services within the truck service department. Of the $9.6 million increase in non-fuel gross margin this quarter, truck service contributed $6.8 million largely due to the continued expansion of ongoing programs, as Barry discussed earlier. Truck service non-fuel gross margin percentage increased to 57.1% in the 2018 third quarter compared to 56.3% in the 2017 third quarter. Site level gross margin in excess of site level operating expenses excluding unusual items from a year ago increased in the 2018 third quarter by $3.9 million dollars or 2.9% as compared to the 2017 third quarter largely due to the continued success of our truck service programs. Turning to our liquidity investment matters; at September our cash balance was $85.5 million dollars and we had approximately $131 million available under our revolving credit facility. We own 32 travel centers and 6 standalone restaurants that are unencumbered by debt. During the quarter we invested $44.3 million of capital expenditures and sold $15.8 million dollars of side improvements to HPT. Our 2018 capital investment plan contemplates approximately $150 million of capital expenditures which includes approximately $55 million of sustaining capital investments and the sale leaseback of approximately $50 million of site improvements to HPT. That concludes our prepared remarks. Operator, we are now ready to take questions.
Operator: Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from comes from Steve Dyer with Craig-Hallum Capital. Please go ahead, Steve.
Ryan Sigdahl: Hi, guys; Ryan Sigdahl on for Steve Dyer.
Andy Rebholz: Hi, Ryan.
Ryan Sigdahl: In your prepared remarks, it sounded like negotiations with HPT will take first priority for C-store proceeds. And then if talks fail then you will turn your attention to the senior notes. So should we assume that this is kind of an either/or, or potentially splitting payments between the two. Any help?
Andy Rebholz: I think that our -- or maybe to say it this way. I believe that our best opportunity for the greatest amount of savings is to come to some agreement with HPT on a rent reduction. Just when you look at the stated rates of those different obligations, the senior notes average something just a little over 8% and arguably the rate in the HPT leases is 8.5% or so. So our intention would be, if we can reach an agreement with HPT that's acceptable to both TA and HPT to do it all there and not do anything with the senior notes if we're unable to reach an agreement with HPT that both sides are satisfied with then we would look to pay down senior notes.
Ryan Sigdahl: That's helpful thanks. Then in Q3 are you able to quantify if there were any inefficiencies in costs related to the C-store sale process and then whether those are not discontinued ops or whether there was anything that flowed through kind of the continuing ops income statement?
Andy Rebholz: Yes. Everything related to that business that's being sold is kind of encapsulated in the discontinued operations line in the income statement. And when the 10-Q comes out later today, there's a footnote in those financial statements that kind of will give you some further detail on what makes up that discontinued operations amount. But as of the first part of your question or a quantification of any inefficiencies not really I don't believe that that's a very large number, if there's much of anything that's specific or you can point your finger at. I mean, there is I mean, as we had talked about for quarters leading up to announcing that sale. We have believed all along that the introduction of a loyalty program was going to be a key component to sort of a reversal of fortunes for that business. And we had just gone live with that loyalty program at 31 sites just before the sale was agreed and announced. And essentially that the good news if you will from that roll out sort of stopped because the buyers aren't interested in continuing that program. I mean, they're going to have their own program to do, so they didn't want us to continue rolling out the program to the sites. And so you could maybe argue that there was some lost opportunity there that we didn't enjoy that we may have enjoyed and there's probably certain expenses that we've incurred through maybe it's inventory write-offs or some maintenance expense or things like that as we're preparing for a transaction. But I don't think there's anything there that you could put your arms and say it was a significant amount in any way.
Ryan Sigdahl: And then just a modeling question but you have what adjusted EBITDA was in Q4 of 2017 in front of you and then I know you commented on 2018 being improved from 2017 but then do you expect growth kind of on that number in Q4 2018 quarter-over-quarter.
Bill Myers: Yes. This is Bill. We do have adjusted EBITDA for the fourth quarter of last year. It's about $11.4 million.
Ryan Sigdahl: And then do you think you can continue the growth like you have been this quarter and into Q4 on a fourth quarter-over-fourth quarter basis?
Bill Myers: Yes, we continue to expect that we will that we will beat the prior year. I honestly -- by what percentage or whatever I can't say but what we believe we're going to beat the prior year.
Ryan Sigdahl: All right. And then last one for me. Any comment on fuel margins in October and whether the strong conditions have continued? And then kind of going forward do you have a target of you know, with the discontinued ops, accounting standard changes et cetera kind of what the new companies target fuel gross margin per gallon is? Thanks.
Andy Rebholz: So to answer your first question of fuel trends for October compared to the prior year's October continue to be strong and up. Our volumes up by about 2% compared to the prior year and cents per gallon is up by $0.05.
Bill Myers: As to Ryan, as to the -- what we think things look like sort of without all the noise of the accounting standard change you mentioned and in the discontinued operations. I mean, I think really you could look at the results that we've reported here for this quarter because those results for example in our press release all the supplemental data that we have when we talk about fuel gross margin per gallon of $15.07 that is all after discontinue operations are stripped out, so they're not affecting that number. And also reflects any effect from the kind of the new accounting standard and that would be true for both the 2018 and 2017 amounts for both the quarter and the nine months periods that we have presented in the press release and that you'll see in the 10-Q when it comes out. So I think if you focus on the continuing operations data that's in our reports starting with this press release today that that I think is showing you what the world should look like from that perspective.
Ryan Sigdahl: Thanks, I'll turn it over from there.
Bill Myers: Thanks Ryan.
Operator: Our next question comes from Bryan Maher with B. Riley FBR. Please go ahead, Bryan.
Bryan Maher: Good morning, guys.
Andy Rebholz: Good morning.
Bill Myers: Good morning.
Bryan Maher: Can you drill down a little bit further; I mean my email lit up when you talked about the HPT talks. What form would that take? Is it a simple rent reduction? Is it a combination of a rent reduction as a percentage and maybe taking care of the deferred rent obligation? Is it potentially buying back some TAs out of their system and owning them outright? Can you drill down on what you're thinking about there?
Andy Rebholz: Bryan, I think that as much as I'd like to give you something helpful right now I'm not sure I can because it is so early in that process that I could tell you something now and it could be a different answer next week. We've where we are is that we've gone to HPT as we said we would and said that we wanted to engage them in a discussion to see whether there's a transaction that both sides could be comfortable with that would reduce our rental obligations. They've agreed to engage in those conversations. And that's a process that is sort of now underway. We've got a special committee of independent directors and they've got a special committee of independent trustees and they will negotiate to something. I think it's fair to say that all of the things that you listed there are ideas that that we've had for how you might achieve that how you might achieve that that being a reduction in the rent. And if you're going to look to achieve a reduction in the rent is dealing with the deferred rental obligation something that becomes a part of that negotiation. And I can see a world where that does become part of the discussions. But at this point it's just too unbaked yet to try to give you a sense of what it might look like.
Bryan Maher: Okay. And Barry talked a lot about kind of wages and benefits in this current environment and motivating and keeping employees but I don't think I heard him and maybe I missed it, talk about what you're looking at as far as kind of line employee wage increases go. And we do get that kind of detail from a lot of the hotel and leisure companies that we cover. Can you give us some idea of what you're looking at kind of on a year-over-year basis on wage and benefit increases?
Andy Rebholz: I mean I think that it's fair to say that there are, I mean there are states where they're increasing their minimum wages and we feel some effect from that. In most cases, not in most cases maybe more significantly though for us when we look at our business and the focus that we have on the truck service aspect of that, and obviously if you want to grow revenues in that business you need people writing orders and turning wrenches and things like that. So it is a labor intensive part of our business. And one that's competitive from a need to recruit and retain those technicians and truck service advisors and things like that. So there's definitely pressure there. What percentage it is, really hard to say and there are a lot of things that get baked into that besides pay. As you said, the benefits increases, and I think as everybody is seeing out there, medical costs continue to be a pressure point for businesses that have employees and we're feeling that same sort of a thing. I think that in our analyses where we're probably forecasting something in that three, four-ish kind of a percent labor cost increases that takes sort of all of those things into account.
Bryan Maher: And kind of as an extension to that question how should we be thinking about site level operating expenses and as SG&A kind of on a year-over-year basis growth wise countered by the cost saving initiatives that you've been putting in place? What does that kind of net out to in your mind?
Andy Rebholz: Yes, I think that that's one reason why we - in the press release we provided sort of these in the last three quarters restated so you have maybe better numbers to work off of in your modeling they have the discontinued operations stripped out. I think that the cost saving initiative at least the one that I spoke about with the net benefit of $6.5 million a year, that's something that should be fairly evenly spread throughout the year. And I think that it is -- and Bill can correct me if I'm wrong but it's early in 2018 that we think will be fully sort of implement it with that program maybe sometime in the first quarter. So you ought to be seeing that nearly a $1.750-ish million or whatever the math is of a benefit each quarter certainly after the first quarter and the first quarter might still be a little bit of a partial on that one.
Bryan Maher: Okay. And if I could just circle back around one more time on the HPT negotiations, why now, is it because you feel as though with the proceeds from the C-stores that you have leverage in that you could pay down your senior notes or do other things, as opposed to why not a year ago or three years ago or four years ago, entering into those negotiations on the 8.5% rents when interest rates were zero. It always struck me as a little on the high side, relative to what other things were going for in the world that we live in. So is it because you feel that you have leverage now or is it something else?
Andy Rebholz: I think it's because we feel we have, we have a - if you want to call it leverage, you could you could use that word. We have a leg to stand on, we have something, if you're HPT we have something worth listening to whereas we may not have before.
Bryan Maher: Okay. Thanks, Andrew.
Andy Rebholz: Thanks, Bryan.
Operator: This now concludes the question-and-answer session. I would like to turn the call back over to Andy Rebholz for the CEO for any closing remarks. Please go ahead.
Andy Rebholz: Thanks, Sean. Again everybody, I want to thank you for joining us today and for your interest in TA. Take care.
Operator: The conference has now concluded. Thank you for attending today's presentation. And you may now disconnect.